Operator: Thank you for standing by, and welcome to the Li Auto Inc. Fourth Quarter and Full-Year 2022 Earnings Conference Call. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions]. I would now like to hand the conference over to Ms. Janet Chang, Li Auto IR Director. Please go ahead.
Janet Chang: Thank you, operator. Good evening, and good morning, everyone. Welcome to Li Auto's fourth quarter and full-year 2022 earnings conference call. The company's financial and operating results were published in the press release earlier today and are posted on the company's IR website. On today's call, we have our Founder, Chairman and CEO, Mr. Xiang Li; and our CFO, Mr. Johnny Tie Li, begin with prepared remarks. Our President, Mr. Donghui Ma and our CTO, Mr. Yan Xie will join for the Q&A discussion. Before I continue, please be reminded that today's discussion will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's actual results may be materially different from the views expressed today. Further information regarding risks and uncertainties is included in certain company filings with the U.S. Securities and Exchange Commission and the Hong Kong Stock Exchange. The company does not assume any obligation to update any forward-looking statements, except as required under applicable law. Please also note that Li Auto's earnings press release and this conference call include discussions of unaudited GAAP financial information as well as unaudited non-GAAP financial measures. Please refer to Li Auto's disclosure documents on the IR section of our website, which contains a reconciliation of the unaudited non-GAAP measures to comparable GAAP measures. Our CFO will start the remarks in Chinese for about five minutes. There will be English translation follows after he finished all his remarks. With that, I will now turn the call over to our CEO, Mr. Xiang Li. Please go ahead.
Xiang Li: [Foreign Language] Hi, everyone, and thank you for joining our call today. 2022 was another year of explosive growth for new energy vehicles in China as more consumers embraced NEVs. According to the China Passenger Car Association, the penetration rate of new energy passenger vehicles reached 31.7% in Q4 2022 compared to 14.8% in 2021 and 29.0% in Q3 2022. Our business continued to grow rapidly. In less than a year, we launched three new models, L9, L8 and L7, fully covering the family SUV market between RMB300,000 and RMB500,000. These launches further solidified our market leadership. In the meantime, we continue to fortify our foundations across R&D, supply chain and sales and service networks. We've upgraded our overall business processes and org structure to prepare for ourselves in the one to 10 stages. Next, moving on to deliveries and recent updates. In December 2022, we delivered more than 20,000 vehicles, setting another record not only for ourselves, but also all emerging automakers in China, putting us in a very good position for 2023. While these L9 has been dominating the full-size SUV monthly sales chart in China ever since its release in December -- sorry, in September, Li L8 continuedly won sales success, becoming the top seller of all large SUVs in December 2022. We delivered 46,319 new vehicles in Q4 2022, and 2022 annual deliveries reached 133,246 units. In December 2022, according to the insurance registration data from Chinese Automotive Technology Research Center, we ranked first in both the SUV and NEV market in the price range of RMB300,000 to RMB500,000, establishing ourselves as one of the go-to brands for all premium SUV shoppers. Furthermore, in the first quarter, a typical off-season for vehicle sales, we maintained strong order intake, showcasing the competitiveness of our products and services. I would like to hereby thank all of our users and their families for their trust and support along the way. Our revenues reached RMB17.65 billion in Q4 and RMB45.29 billion for the full-year 2022, up 66.2% and 67.7% year-on-year, respectively. With our cost management capability and operational efficiency, we maintained a healthy gross margin of 20.2% and free cash flow of RMB3.26 billion in Q4 2022. Moving on to our product lineup. On February 8, we officially launched the L7, our 5C flagship family SUV with test drive starting the day after. Li L7 features exceptional second row space, a comfortable interior and a long list of standard features. Equipped with our in-house developed all-wheel drive range extension system, the L7 has a CLPC range of 1,315 kilometers and 0 to 100 kilometers per hour acceleration in 5.3 seconds. L7 is developed with a G rating, the highest cost of rating in the C-IASI 25% small overlap crash test for both the driver and passenger side. It also features the constantly evolved Smart Space infotainment system and our driver assistance system. Li L7 is available in three trim levels, Air, Pro and Max fully covering the RMB300,000 to RMB400,000 price range. Alongside the L7 release, we also released an Air model to our L8 lineup, which succeeded Li L1 in the same segment which covers the RMB300,000 to RMB350,000 price range. We will commence deliveries of Li L7 Pro and Max in early March and delivery of Li L7 Air and L8 Air will start in early April this year. With the introductions of these new models, we have completed the deployment of L7, L8 and L9 for the entire RMB300,000 to RMB500,000 SUV market. The L7 also allowed us to reach a broader audience base. The L7 not only received raving reviews from customer test drives, but also brought in more diverse family users into our stores, which further led to new leads and orders for the L8. On December 16, the L9 was awarded the Car of the Year in the 10th Xuanyuan Award. It is organized by the Auto Business Review and Austria-based EMS Consulting. The Xuanyuan Award is widely regarded as the Academy award in the Chinese auto industry. With Li L8 and L9 continued strong performance and the addition of L7 to our family, we will set ourselves a stretch goal of 20% market share in the RMB300,000 to RMB500,000 premium SUV segment this year. Against this backdrop, we expect first quarter deliveries to be in the range of 52,000 to 55,000 units. Next on to supply chain. Despite continued supply chain challenges, our deliveries for both L9 and L8 exceeded 10,000 units in the first full month of delivery. This was only possible with the support of our suppliers, and this was also a testament to our solid supply chain management capabilities. We remain confident of our parts supply in 2023 as we further improve our planning, risk management and cost management capabilities to cope with potential challenges and risks. We take a modularized approach to supply chain management. While we work closely with our supplier base, we have also strategically identified core area for in-house development and vertical integration in order to strike a good balance between cost and risk. Over the past three years, we have been deploying a series of manufacturing facilities and the range extender in electric drive unit. Let's move on to the sales network. In Q4 2022, we continue to strengthen our direct sales and services network and to increase our user outreach and brand awareness in order to bolster our commercial capabilities and drive growth. As of January 31, 2023, we operated 296 retail stores, covering 123 cities as well as 320 service centers and Li Auto authorized body shops in 222 cities. In 2022, we expand -- while expanding our sales networks, we focused on upgrading our existing retail stores to house multiple models in order to reach more different types of families. In the coming quarters, as our brand continues to gain momentum, we have more multi-function stores -- we will have more multi-function stores in our sales network. After more than three years of operation, the direct sales model has proven to provide better user experience and at a lower cost, which will remain our long-term commitment as the premium car brand. In 2022, our SG&A expenses already lower than our R&D expenses, and we expect to further reduce our selling expenses as a percentage of revenue in 2023. In terms of R&D, it has always been a cornerstone of our value creation process for family users. Excellent user research and development capabilities have not only allowed us to stand out in the NEV market, but also will ultimately allow us to emerge as a world-class tech company. In 2022, we made great strides in research and development. On the electric drive unit, our L-series vehicles are powered by our in-house all new range extension 2.0 system with our 1.5-liter four cylinder turbocharged engine, boasting a maximum thermal efficiency of 40.5% and coupled with our proprietary five-in-one drive unit has significantly enhanced their overall noise vibration harshness performance. Supported by our proprietary hardware and software, the Li Magic Carpet air suspension provides top-notch ride and handling and in particular, our own XCU vehicle controller is capable of handling complex vehicle information at high speed, enabling millisecond grade vehicle control. Our smart space continues to evolve. Li Xiang Tong Xue for instance, has evolved with a new generation device cloud integrated architecture and has been rolled out to all of our L-Series model. Featuring our in-house inference engine for in-car scenario, LisaRT, it provides solid foundation for the in-car deployment of more powerful and complex algorithms. Moreover, we have made remarkable progress in the voice and vision-based interaction algorithms. On the speech side, with our innovative MIMO-NET algorithm that can accurately isolate different human voices in multiple zones. We have voice recognition algorithm, MSE-NET, Li Xiang Tong Xue's activation and recognition accuracy both reached 98% in real-world testing. These rates remain at over 90% in various demanding scenarios, including high noise, low voices and children's voice. On the vision side, our MVS-net algorithm can accurately recognize gestures of all occupants, combined with innovative [indiscernible] gesture technology and makes interactions through gestures easier and more natural, allowing a whole family to enjoy the superpower of making contact and taking control over the air. In terms of autonomous driving, we adopted the fusion BEV algorithm framework jointly proposed by Tsinghua University, MIT, and us, which can be flexibly deployed with Li AD Max and AD Pro's different hardware configuration. Our in-house highway NOA prediction algorithm enables organic automated lane change and a smooth acceleration and deceleration experience. As of now, over 220,000 family users have used our highway NOA features, covering 100 million kilometers of distance. During the 2023 Chinese New Year holiday alone, our highway NOA mileage of all models reached almost 8 million kilometers. This year, we'll further expand our NOA features into urban driving scenarios with beta testing for early bird users planning on Li AD Max in the first quarter of this year. In addition, we created the industry's first AEB function with LiDAR applications on Li AD Max and extended the LiDAR's algorithms' safety scenarios for major traffic participants, such as vehicles, cyclists, and pedestrians to cover irregular scenarios, including special vehicles as well as night driving scenes. Going forward, we will continue to focus on developing our core EREV and BEV technologies in-house and further elevating our product level intelligence. To that end, we will consistently direct our R&D resources across products, platforms, and systems to fuel our long-term growth. In summary, we view our long-term success as a function of our continued investment in R&D and our business capabilities, which will support the creation of more hit model, enhance our brand value and serve as critical pillars of our business flywheel. 2023 will be another year of rapid development of the NEV industry and for Li Auto in particular. We have full confidence that we will be able to build an increasingly innovative and diverse model lineup and deliver outstanding products and services that will continue to exceed our users' needs. With that, I will turn over the call to CFO -- our CFO, Johnny, for a deep dive into our financial performance.
Tie Li: Thank you, Li Xiang. Hello, everyone. I will now review some of our 2022 fourth quarter financials. To leave more time for the Q&A session, I will drive financial highlights here and encourage you to refer to our earnings press release for more details. Our total revenues in the fourth quarter of 2022 were RMB17.65 billion or $2.56 billion, representing an increase of 66.2% year-over-year and an increase of 88.9% quarter-over-quarter. This included RMB17.27 billion or $2.5 billion from vehicle sales, which was up 66.4% year-over-year and 90.9% quarter-over-quarter. The increase was mainly attributable to the increase in vehicle deliveries as well as higher average selling price due to our delivery of the Li L9 starting in late August and Li L8 starting in November. Revenues from other sales and revenues were RMB381.5 million or $55.3 million in the fourth quarter, representing an increase of 55.9% year-over-year and an increase of 28.7% quarter-over-quarter. The increase was mainly due to the increased sales of accessory and services in line with higher accumulated vehicle sales. Our cost of sales in the fourth quarter was RMB14.08 billion or $2.04 billion, representing an increase of 70.9% year-over-year, an increase of 72.6% quarter-over-quarter. Our gross profit in the fourth quarter of 2022 was RMB3.57 billion or $517.1 million, growing 49.8% compared with the fourth quarter of last year and 201.7% compared with the third quarter of this year -- of 2022. Our vehicle margin in the fourth quarter of 2022 was 20% compared with 22.3% in the fourth quarter of 2021 and 12% in the third quarter of 2022. The decrease in vehicle margin over the fourth quarter of 2021 was mainly due to the different product mix between the two quarters. The increase in vehicle margin over the third quarter was mainly attributable to the losses on purchase commitments related to Li ONE in the third quarter of 2022. Gross margin in the fourth quarter of 2022 was 20.2% compared with 22.4% in the fourth quarter of 2021 and 12.7% in the third quarter of 2022. Operating expenses in the fourth quarter of 2022 were RMB3.7 billion or $536.4 million, representing an increase of 47.1% year-over-year and an increase of 11.7% quarter-over-quarter. R&D expenses in the fourth quarter of 2022 were RMB2.07 billion or $300.1 million, up 68.3% year-over-year and 14.7% quarter-over-quarter. The increase was primarily driven by increased expenses to support our expanding product portfolios as well as increased employee compensation as a result of our growing number of staff. Our selling, general, and administrative expenses in the fourth quarter of 2022 were RMB1.63 billion or $236.3 million, representing an increase of 44.8% year-over-year, an increase of 8.1% quarter-over-quarter. The increase was primarily driven by increased employee compensation as a result of our growing number of staffs as well as increased rental expenses associated with the expansion of our sales and servicing network. Loss from operations in the fourth quarter of 2022 was RMB133.6 million or $19.4 million compared with RMB24.1 million -- from operations in the fourth quarter of 2021 and representing a decrease of 93.7% from RMB2.13 billion loss from operations in the third quarter of 2022. Net income in the fourth quarter of 2022 was RMB265.3 million or USD38.5 million, representing a decrease of 10.2% from RMB295.5 million net income for the same period in 2021 and compared with RMB1.65 billion net loss in the third quarter of 2022. Turning to our balance sheet and cash flow. Our balance of cash and cash equivalents, restricted cash, time deposit, and short-term investment was RMB58.45 billion or $8.47 billion as of December 31, 2022. Net cash provided by operating activities in the fourth quarter of 2022 was RMB4.93 billion or $714.1 million. Free cash flow was RMB3.26 billion or $472.3 million in the fourth quarter of 2022. As of December 31, 2022, we had a total of 19,396 employees. For more of our 2022 full-year financials, please refer to our earnings press release for more details. And now for our business outlook. For the first quarter of 2023, the company expects the deliveries to be between 52,000 and 55,000 vehicles, representing an increase of 64% to 73.4% from the first quarter of 2022. The company also expects first quarter total revenues to be between RMB17.45 billion and RMB18.45 billion or $2.53 billion and $2.68 billion, representing an increase of 82.5% to 93% from the first quarter of 2022. This business outlook assumes supportive macroeconomic conditions, no significant disruption in the supply chain and reflects the company's current and preliminary view on its business situation and market conditions, which is subject to change. I will now turn the call over to the operator to start our Q&A session. Thank you.
Operator: Thank you. [Operator Instructions]. The first question today comes from Tim Hsiao with Morgan Stanley. Please go ahead.
Tim Hsiao: [Foreign Language] So my first question is about the global outlook. We noticed that previously the management shared the monthly deliveries could, at least, reach 25,000 after the delivery of L7 started with a further point to 30,000 after the air versions of L7, L8 are available. So I just want to double confirms that how we come up with such as drawn target? Are they based on the pace of the new order and tech order backlog? Or our assessment of total addressable market of five, six seaters SUV? And how fast could Li-MOS deliveries reached and stabilize at such level? And more importantly, could the supply chain coordinately ramp up their output at a such rapid pace? [Foreign Language]
Xiang Li: [Foreign Language] So 25,000 to 30,000 orders is our internal goal. And we expect to reach this level in Q2. This is -- April is the first full month where we deliver the L7 Pro and Max. And May will be the first month where we deliver the Air version of L7 and L8. [Foreign Language] Second question about our ramp-up. Admittedly, we experienced some issues in the second half of 2022 with our deliveries. And we attributed really to two things. One is because we had set a very aggressive delivery goal because we were seeing really good order intake. So that plays a lot of pressure on the supply chain. And the second cause was we were switching from a single model to multiple models, which again, plays a lot of pressure on our sales and service networks. So across Q4 and Q1 of this year, we have been going through a long process of upgrading our sales and service and manufacturing systems so that now we have a very robust system all the way from planning to delivery, to manufacturing and sales so that we can handle really the stress that comes in with our strong order intake. And that really helps us to make three things a lot better. The first one is resource allocation. We could really allocate the best resource to where it's most needed. And the second one is our employees will feel more fulfilled as they achieve these goals and certain that it also applied suppliers to reach higher efficiency on their side.
Tim Hsiao: [Foreign Language] So my second question is about battery procurement costs and the potential impact to your margin. We so strong likely see that battery prices, which continued a downtrend this year. And previously, local media also reported, like [indiscernible] and likely others are rolling to offer some aggressive pricing in exchange for long-term contracts from Li Auto's and other top notch TV makers. So could the management team comment on potential collaboration with battery makers? And how should we think about the contribution to Li Auto's margin improvement in the following quarters in terms of scale and timing versus current logo?
Xiang Li: [Foreign Language] So in terms of battery pricing, there are many factors at play, including the Li mines and battery pricing mechanisms. But in general, our belief is that as battery costs continues to approach a more reasonable level, we think it's good for the industry, not only for us, as OEMs, but also for suppliers and battery manufacturers. [Foreign Language] So as we expand to more models and as our sales continue to ramp-up, we believe battery is a very strategic asset and we will continue to commit to a multi-supplier strategy for two reasons. One is for not only for the stability of our supply chain, but also to meet the time requirements for developing multiple models at the same time. [Foreign Language] Now in the long-term, we believe that battery prices will continue to move towards a more reasonable level. As you can see in the past few days, the price of lithium carbonate has already reached RMB400,000 per ton. And we believe the long-term trend is still for the price to go down, and we'll continue to work with suppliers to negotiate a good term. But there's not much details I can share at this point.
Tim Hsiao: [Foreign Language] Thank you very much for the detailed update. Thank you.
Operator: The next question comes from Paul Gong with UBS. Please go ahead.
Paul Gong: [Foreign Language] So my first question is regarding the gross margin. I think for this quarter, the vehicle gross margin has been 20.0%, which is about one percentage point lower than second quarter and two percentage points lower than first quarter. I think just now Mr. Li Xiang has mentioned it was due to the product mix change. But my understanding is L9 contributed about 60% of the volume for this quarter, which should be positive for the margin. Is that due to the initial ramping up stages? Or is there any other reasons you can share? This is my first question.
Tie Li: Thank you, Paul. This is Johnny from the company. First, the gross margin is healthy and consistent with our guidance. And starting from the fourth quarter, our revenue and gross margin and gross profit is a mix of different product offering. And the majority of the sales volume comes from the L9 and the L8 and both products is under the ramping-up period. As you know, our supply chain needs to ramp-up -- of some period and to release the gross margin -- the cost down in the coming quarters. And our L Series platform, the overall gross margin is 25% with material deliveries in the future, monthly deliveries. Thank you.
Paul Gong: [Foreign Language] So my second question is regarding to your upcoming pure electric, perhaps among NPV. I understand the selling point might be fast charging, but we also see some competitors, some peers fast-charging BEV models recently launched, didn't really met the expectation. So how should we define our products by maintaining the competitive lease while trying to achieve certain margins hopefully are comparable to our existing EREV products?
Xiang Li: [Foreign Language] So I answer this question on three levels. So I start off with why we decided to build REVs in the first place. It was really two things, right? One is because battery costs are very high. And second was charging was difficult at the time for electric vehicles. It was not only difficult to find charging stations but also very slow to charge. So moving over to EVs. We also intend to solve the three issues. The first one is about charging. With REVs, our strategy has been to use gas on highways and use electricity in the local environment. So EV, we saw the same issue by charging rapidly, charging 400 kilometers of range in 10 minutes, which is very comparable to gas cars. But that's not the complete picture. It's like when we had 4G mobile phones, if we don't only have 2G networks, it still wouldn't work. So another piece of the puzzle is infrastructure. So with car, charging capabilities and infrastructure, we are able to provide a level of charging experience comparable to REVs or gas vehicles. And second one is cost. As you can see, we've invested a lot on our 800-volt high-voltage architecture as well as our own in-house silicon carbide factory. And many of these innovations combined allow us to significantly increase the efficiency of our EV architecture. Compared to 400-volt IGBT systems, we observed almost 15% of energy efficiency compared to similar models of 400-volt architecture. And that saves a significant amount of battery and therefore, cost of the vehicle. And the third level I want to talk about is product. I can assure you that on our EV product lineup, we'll be able to provide a similar level of product and experience, differentiation that significantly exceed our user expectations, even more so than our EV models.
Paul Gong: [Foreign Language] Thank you so much.
Operator: The next question comes from Wang Bin with Credit Suisse. Please go ahead.
Bin Wang: [Foreign Language] Actually got two questions. Number one is about a second order. For your guidance, you said that before L7, L8 version you got 25,000 units sales. But after it, you got 30,000 units, which means will be fighting from a -- so can the overall L7 will be bigger than the total order flow from L8 and L9? That's the first question about the order flow for L7. And second question about our margin. I actually try to quantify the margin impact in the number four quarter because we see a few factors number-wise that and this impact actually increasing quite back in the number fourth quarter compared to number three increase around 400,000 units maybe per ton to more 500,000 units. Is that going to be the number one reason? Number two is about the promotion for the Li L1, we saw that in the last quarter last year, each month, we sell around 1,000 units and Li L1. So is that going to create an inventory second week on margin did not increase? And third one is about the component supply normally for comeback first certain amount say, 50,000. You actually have a higher cost. After 50,000, you have lower cost. So what's the reason, I'm trying to understand what's the margin trend in the first quarter next year, 2023? Thank you.
Tie Li: Tie Li here. I will take both your question. First, I think for the new L7 as [indiscernible] we still need some time to ramp-up. For the Q1 guidance, we include several thousands of L7. Most of the delivery will be still be L9 and L8. And as we mentioned, April or May will be the whole month, we deliver our L-Series, including Air. So we have some -- our order. But as you know, the Air version test drive hasn't start. So a lot of the customers need to do test drive. So the mix just like the survey, you can see from the [indiscernible]. And for the second question, I think all the factors you mentioned is a -- was the factor that makes our 20% gross margin in the fourth quarter. And all this, as a whole, got the impact about 2% of the margin. So I think I don't want to break it into too much detail. And for this year, considering the market conditions, we still want to keep our guidance to be above 20%. Thank you.
Bin Wang: Thank you so much.
Operator: The next question comes from Ming Hsun Lee with Bank of America. Please go ahead.
MingHsun Lee: [Foreign Language] So, my first question is regarding the license plate policy change in Shanghai. So, what is the sales contribution from Shanghai City in 2022 and 2023? And among that, how many percentage of the consumers this year, they use their current license plate to buy our products? [Foreign Language] So, my second question is regarding your product pipeline. So, first question, will you launch the BEV this year for the NPV and also for your new product pipeline? Is L6 be launched in next year? And also, for the -- besides L6 next year, for the BEV product, will you start to launch more other products, for example, such like SUV or [Foreign Language]?
Xiang Li: [Foreign Language] In terms of orders, in Shanghai, the general order flow was not very good. And then that was understandable because most of the demand was released in November and December last year. But we have just seen a very significant recovery since February. And over the long-term, we look at this issue from a market share standpoint. And we believe the steady-state market share in Shanghai will be comparable to that in Beijing because going forward, immediately, these markets, our EV purchase will be incentivized by free license plates. So we think Shanghai will eventually move towards a market share similar to that in Beijing. [Foreign Language] First of all, in terms of flagship EV product, the timing of the product release is highly tied to the cycle of technology innovations. And in particular, in this case, at the end of this year, there will be a big milestone where Qualcomm will be releasing their 8,295 chips. So the delay in our EV product is highly tied to this because we want to meet the development cycle so that we can release our flagship vehicle with the new chip as early as possible. We cannot have our flagship model and only carry the last generation chip when it comes to market. And the second one, in terms of the EV lineup. The EV lineup will basically mirror something similar to what we have with the L-Series, which fully covers the RMB200,000 to RMB500,000 price range.
MingHsun Lee: [Foreign Language] Thank you.
Operator: The next question comes from Yingbo Xu with CITICS. Please go ahead.
Yingbo Xu: [Foreign Language] My first question comes from, it is -- just now we mentioned that we aim to get 20% market share on the SUV market with the price from between RMB300,000 to RMB500,000. So my question is that how we have confidence in this market share? And could you please talk a little bit more on how we consider about the market of SUV between the price RMB200,000 to RMB300,000? This is my first question. Thank you.
Xiang Li: [Foreign Language] First one, about the RMB300,000, RMB500,000 price range. We were at a market share of 9.5% last year, as you mentioned. And this year, we expect the whole market size to be between 1.4 million to 1.5 million units. And our goal is to double the share because we believe at 20% share is where we could reasonably steadily stay as a brand champion. And that's kind of how our goal came about. The RMB200,000 to RMB300,000 market is a lot more competitive. So our plan is to achieve the market -- approach the market at a second stage where we have much greater economy of scale and stronger core competencies.
Yingbo Xu: [Foreign Language] My second question is that considering the generated -- considering the pretrain transformer the AI technology has influenced in different sectors in different industries. So my question is how will that impact auto industry we are working now? And in the future, how can that influence? And for the consumers, for the users, what kind of change we can experience in short? Thank you.
Yan Xie: Hello, Yingbo. This is Yan. Let me take your question. We have invested in the development of AI based cognitive technologies for quite a long time, especially in the conversational AI and the gesture recognition. We think they are very important in smart space and we will keep our customers a very good user experience. So recently, we are paying close attention to ChatGPT and we think it's technology -- the technology behind like large language models and pretrain models are very similar to what we are doing right now in small space. So we also believe that these technologies have good potentials in visual task like self-driving and the related study and the development is still in progress.
Yingbo Xu: [Foreign Language]
Operator: The next question comes from Yuqian Ding with HSBC. Please go ahead.
Yuqian Ding: [Foreign Language] I only got one question, is that within our current three SUV model portfolio, how do we evaluate the potential cannibalization given by different version of different models, the pricing points overlap? And should these three models combined sales between amount RMB20,000 to RMB30,000, what's the roughly margin range we would expect given these three SUV models have the shared cost base?
Xiang Li: [Foreign Language] In fact, in practice, we've seen very clear user base differentiation between L7 and L9, L8. There hasn't been as much overlap as we have been expecting. As we've seen in showrooms, the L7 is really attracting families with two to three members, one kid, and L8 is attracting either families with two kids or those that are three generations under the same roof. And another good thing is that the interest in L7 has also helped a few orders for L8. So with L8, L7 and L9 we really formed is not just a product line, but in fact, the product network. We want any family who is willing to buy an SUV will come to our network and find and think about whether it's L7 or L8 or L8 or L9 that they should buy rather than comparing us to other brands and pick which brand to buy. That has been our core product philosophy with the product lineup about L7, L8, and L9.
Tie Li: Okay. For the gross margin, as we just mentioned for L-Series platform with all this product offering and with some scalability, the design gross profit is profit margin is 35%. Considering this year's battery price and also the macroeconomics, we still want to keep our presence just about 20%.
Yuqian Ding: Thank you.
Operator: There are no further questions at this time. I'll now hand back to Ms. Chang for any closing remarks.
Janet Chang: Thank you once again for joining us today. If you have further questions, please feel free to contact Li Auto Investor Relations team. You may then -- that's off for today. You may disconnect your lines. Thank you.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.